Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2007 Stoneridge earnings conference call. My name is Shantelle and I will be your facilitator for today’s call. At this time all participants are in a listen only mode. We will be facilitating a question and answer sessions towards the end of this conference. If at any time during this call you require assistance, please press star followed by zero and an operator will be happy to assist you. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s call, Mr. Ken Kure, corporate treasurer and director of finance. Please proceed sir.
Ken Kure: Good morning everyone and thank you for joining us on today’s call. By now you should have received our fourth quarter earnings release. The release has been filed with the SEC and has been posted to our website at www.stoneridge.com. Joining today’s call are John Corey, our President and Chief Executive Officer and George Strickler, our Executive Vice President and Chief Financial Officer. Before we begin I need to inform you that certain statements today may be forward looking statements. Forward looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ may be found in our 10K filed with the Securities and Exchange Commission under the heading forward looking statements. During today’s call we will also be referring to certain non GAAP financial measures. Please see our investor relations section of our website for a reconciliation of these non GAAP financial measures to the most directly comparable GAAP measures. With that, I’ll turn this call over to John.
John Corey: Good morning and thank you for joining us today. I would like to review our accomplishments in 2007 and discuss our expectations for 2008. This call marks the second anniversary of our new management team’s tenure. Previously we discussed a plan for operational improvement leading to financial improvement and finally showing us to be well positioned for market execution. I would like to review our progress on our plans. In 2007 the Stoneridge team responded in a difficult North American market to accomplish the results that continue to improve the top line growth, address our cost structure, improve our operating margins, generate significant cash flow and drive return on invested capital in the range of 10-15%. For the full year we reported earnings per share of $0.71 compared to $0.63 per share in the prior year, an increase of 12.7%. These results are indicative of the continuation of the turnaround at Stoneridge over the last two years. In the fourth quarter our sales totaled $185.5 million, an increase of $14.3 million or 8.3%. For the year, our sales totaled $727.1 million, an increase of 2.6% despite difficult and challenging commercial and automotive markets in North America. A few highlights are, we secured future sales bookings that exceeded $200 million in 2007. We had some significant wins during the year, especially in the third and fourth quarters that help offset the downturn of the light truck and commercial vehicle volumes in the US market. Our sensing businesses launched over $26 million in new business during 2007 and our [admission] sensing secured bookings of over $38 million in new business that further supports our enthusiasm for our growth strategy in [admissions]. In our sensor and switch business we won a new business award in Asia for actuators that will broaden our customer and market diversification. Our aftermarket business in Europe grew by nearly $10 million or 30% in 2007 as we continued to penetrate and expand our market presence there. We won an award supplying product to the M wraps, the mine resistant ambush protection vehicle, potentially open [there] for the new market segment for us. Our two joint ventures in Brazil and India continue to grow the top line with new products entering new markets and broadening their customer base. Geographic and customer growth continues to be an important element of our top line sales focus and we made progress in diversifying our business. Another important area that we are addressing is our overall cost structure. In 2007 raw material costs continued to impact our performance with escalated commodity prices, especially for copper and zinc. We were able to offset some of the increases through hedging transactions for copper and supplier agreements for zinc. In addition we continued to build a global network for our purchasing activities to leverage our buys across all of Stoneridge, including our joint ventures. We are addressing our manufacturing overhead structures with the announcement in November of 2007 of the cessation of manufacturing at our Mitcheldean, UK and our Sarasota, Florida operations. This will be accomplished and will be substantially completed during 2008. These actions were taken to remain competitive across our global manufacturing footprint based on a fully landed cost, not just low labor cost. Our global manufacturing footprint now includes low landed cost manufacturing sites in China, Estonia and Mexico and our joint ventures in Brazil and India. We are presently building a new facility in Estonia which will significantly increase our manufacturing capacity from 22,000 square feet to 86,000 square feet. Presently we have about 36.4% of our manufacturing capacity in low cost plants defined by sales source. Sales source from low cost countries has increased 9.5% since 2004 and we will continue to have more of our products produced in low cost facilities. With significant product launches occurring in 2007, we incurred operation inefficiencies, higher than our expectations, so we have room for improvement. We have no completed our operational plan but as we do we expect to demonstrate efficiency and cost improvements, improving our performance. We have also begun to address our SG&A structures to streamline our support services and reduce our SG&A costs excluding design and development expense. Last year we combined six business units to create two distinct business units, control devices and electronics. From that initial effort we have begun integrating our two high stat locations into one and combined our two North American electronics businesses into one, announced the restructuring of our UK operation and are addressing our corporate overhead cost. Our target is to reduce our SG&A excluding design and development to less than 10% of our net sales over the next two years by growing the top line and reducing costs. By addressing our top line growth and combining that with our actions to reduce our key cost components for raw materials, manufacturing overheads and SG&A, excluding design and development, we are targeting operating margins in the 7-8% range in the next two years. We expect 2008 will be impacted for the restructuring program we announced in November 2007 in the range of $9-$13 million net of expected benefits of a facility sale. The company incurred approximately $1 million for restructuring expense in the fourth quarter of 2007. We are expecting projected benefits to be in the range of $8-$12 million in 2009 and beyond. Cash flow has been a focus for us, during the last two years we have generated $80 million in operating cash flow, $35.5 million in 2007 and $46.5 million in 2006. In 2007 we have generated approximately $46 million in cash flow, $33.5 million from operations and $12.3 million from the divestiture of non strategic assets which included two idle facilities and the company airplane. Cash flow in the future will be generated from operational profitability and working capital management as we have completed the sale of our non strategic assets, except for the Sarasota facility, which we are working on to complete this year. From the actions we have taken to improve profitability, our focus on cash flow generation, the divesting of non strategic assets and more effective managing of our working capital, our goal is to drive our return on invested capital for the range of 10-15%. Some other highlights from our operations have been encouraging and have benefited our progress. Our China operations are becoming more focused on developing our market presence in the Far East. We are pleased that sales have ramped up to a level that the China operation is slightly profitable and as of the fourth quarter, generated their first positive cash flow. This is a small but not insignificant step. Our India and Brazil joint ventures continue to perform well. In 2007, Stoneridge’s equity earnings reached an all time high of $10.9 million from the contributions of our joint ventures, an improvement of $3.8 million or 52.9% over 2006. Minda, our India joint venture posted double digit sales growth in 2007. Minda manufactures electronics and instrumentation for the motorcycle and commercial vehicle markets. PST our Brazilian joint venture, designs and manufactures security and customer convenience products. PST continues to experience double digit sales and earnings growth. This reflects the growth in the market for security and related products but also is a result of PST’s penetration with its three channels of distribution, aftermarket dealers and distributors and OE manufacturers. As we disclosed on October 23, 2007, PST filed for an initial public offering. With the volatility in the equity and capital markets, this process continues to be addressed but the timing cannot be fully determined until the capital and equity markets become more stable. For this reason we are not providing forward guidance at this time for 2008. However, we can share with you what we see in the first quarter. For 2008, our forecast for the North American light truck and pass car production levels are being forecast in the range of 14.3-14.6 million vehicles for the year. Medium and heavy duty truck production in North America is forecasted to be comparable to the last year. European commercial business continues to be strong at least through the first half. Our joint ventures continue to run well and experience significant growth potential. For the first quarter of 2008, based on our market and operational outlook, our operating income should improve by $2-$3 million compared to the first quarter last year, but our results will be negatively impacted by the approximately $3-$4 million from the previously announced restructuring program. As I have stated before, we expect 2008 will be impacted in the range of $9-$13 million for expenses for the restructuring program we announced in November 2007, which includes the expected benefit of the Sarasota facility sale. We are expecting projected benefits to be in the range of $8-$12 million in 2009 and beyond. In summary, we continue to make progress on our plan. Our top line grew 2.6% through increased vehicle content, new products, geographic expansion and customer diversification, offsetting the 35% decline in medium and heavy duty vehicle production in the North American markets for the full year 2007. We continue to address our cost structures, especially manufacturing overhead and SG&A expense, excluding the design and development expense. We continue to focus on cash flows as a way to strengthen our balance sheet and we still have some work to do in managing our working capital to the range of 12-13% per dollar of sales. We need to continue to improve our operational excellence and reduce our operating inefficiencies. Costs such as premium freight and wastes and scrap were high this year, these were adversely impacted with two significant launches in 2007. 2008 will be an equally challenging year due to market conditions and the restructuring we are undertaking. However, we have improved our operational position and can continue to drive improvements. We have strengthened our balance sheet so we are not subject to the uncertainties of the credit market and can fund all our operational needs. We exited the year with the highest new order intake in Stoneridge history to position us well for the future. During the last two years, we have focused on improving our operations and financial excellence. We will continue to work on operations and financial excellence and increase our emphasis on marketing excellence to drive top line growth. Our team demonstrated we can manage the challenges that faced us in 2007. We are confident that we can continue with the improvement plans we outlined to you two years ago. With that, I’d like to turn the call over to George.
George Strickler: Thank you John, before we review the fourth quarter in detail I’d like to share a few financial highlights. During 2007 the company has executed on [unintelligible] strategic initiatives that we have discussed throughout the year. We have divested certain non strategic assets which have generated approximately $12.3 million positive cash flow. The divestitures coupled with cash flow from operations contributed $46 million in positive cash flow. Cash and cash equivalents at year end were $95.9 million compared to $65.9 million at the end of 2006. As a result of our improved cash position, our net debt decreased $104.1 million which resulted in improved our net debt to equity ratio. Our debt to debt plus equity ratio improved from 52.8% to 49.2% on a net debt basis we improved from 35.4% to 25.6%. We still have not achieved our working capital target of $0.12-$0.13 per dollar for sale on a consistent run rate. We’re putting additional resources and efforts into achieving our goal of the $0.12-$0.13 during 2008. We expect 2008 will be impacted in the range of $9-$13 million in expenses for the restructuring program we announced in November 2007, net of the expected benefit of the sale of the Sarasota facility sale. We anticipate that we will incur these expenses approximately evenly over the four quarters of 2008. The company incurred approximately $1 million for restructuring expense in the fourth quarter of 2007 and we are expecting projected benefits to be in the range of $8-$12 million in 2009 and beyond. This program along with the steps we have taken to address our SG&A expense as explained by John earlier, will allow us to reduce our cost base and move the company toward our long term operating profit margin goal in the range of 7-8%. I’d now like to cover the fourth quarter results in more detail and provide some input for 2008. We will then open the call for questions. Revenue in the fourth quarter was $185.5 million, an increase of $14.3 million or 8.3% over the fourth quarter of last year. Favorable foreign currency translation contributed $4.6 [m]illion to our top line compared to the previous year. Our revenues continue to be unfavorably impacted by the substantial decline in North America commercial vehicle production. During the quarter, North America commercial vehicle production fell 42% in part to the change in emissions regulations. Offsetting these declines were the impact of the new program launches and new business in both North America and Europe. Light vehicle revenue increased 4.3% to $68.2 million in the fourth quarter. The increase was primarily attributable to the new program launches in the areas of omission sensing and speed sensors. Medium and heavy duty truck sales totaled $93.9 million in the quarter, up 6.1% from the prior year. Strong European commercial vehicle production, new product sales and favorable foreign currency exchange rates more than offset the 42% decline in North America commercial vehicle production due in part to the change in emissions regulations. Sales to agriculture and other markets totaled $23.3 million and were $6 million or 35% above the prior year. The increase in sales is predominately due to strong build rates at John Deere. North America revenue accounted for 69.9% share of the fourth quarter revenue compared with 72.3% for the same period in 2006. The percentage reflects the strong growth of our European operations and the production declines in North America commercial vehicle market. In the fourth quarter, electronics revenues increased approximately 12% to $120.2 million. The increase was mostly attributable to new program sales in both North America and European commercial vehicle segments. Revenues for the control devices increased 2% in the fourth quarter. Both new business revenue and favorable exchange impacted the sales compared to last year. Fourth quarter gross profit totaled $48.1 million, yielding a gross margin of 26%. Our gross margin was significantly higher than last year’s level of 21.1%. The increase in gross margin was due primarily to new business volume in our European electronics business and new business and more favorable mix in our North America electronics business. This is the highest gross margin we have achieved in the last eight quarters. Our commodity and foreign currency hedging programs resulted in a slightly favorable offset to the unfavorable variances from the volatility we’ve experienced with some of our commodities, especially copper. As a reminder, we locked in approximately one-third of our total copper purchases in 2007 at favorable rates compared to market prices experienced throughout 2007. Sales from low cost manufacturing locations accounted for 32% of total sales in the fourth quarter compared to 37% in the prior year. The reduction as a percent to sales in the fourth quarter of 2007 was due to new business in North America and reduced electronics sales in the heavy duty truck market from our Mexican operation. With our China operation ramping up and our restructuring initiatives, we expect our sales from low cost locations to grow. As we relocate labor intensive manufacturing over time, we will expand our presence in three key low cost manufacturing locations, Mexico, Estonia and China and build on our growth potential in Brazil and India through our joint ventures. We are continuing construction on our new facility in Estonia which will be completed in the second half of 2008. We will relocate existing Western European production from our current facilities, plus production being transferred from our other facilities which will benefit our Estonia facility. Selling, general and administrative expenses totaled $34.6 million in the fourth quarter compared to $33 million in the previous year. The prior year SG&A figure benefited from the non recurrence of a $1.6 million onetime gain related to the sale of a real estate investment realized in the fourth quarter of 2006. The increase in SG&A during the quarter was related to additional design and development and marketing expenses primarily in our European electronics operation that applies to future platforms. And finally our operating income totaled $12.9 million in the quarter compared with $2.8 million in the prior year, an improvement of $10.1 million. Fourth quarter income tax expense totaled $4.3 million resulting in an effective tax rate of 40%. The rate is higher than the first nine months primarily due to the level for the fourth quarter and the year of higher tax domestic earnings. We expect an average effective tax rate to be in the range of approximately 45-48% for 2008 due to restructuring charges of approximately $8-$10 million in the UK which will accrue no tax benefit. Stoneridge recognized fourth quarter net income of $6.5 million or $0.28 per share compared with net income of $1.5 million or $0.06 per share in the prior year. Depreciation expense for the fourth quarter was $6.2 million and amortization expense totaled $326,000. For the full year we expect depreciation and amortization to approximate $28.5 million. Earnings before interest, other income, tax, depreciation and amortization were $19.5 million in the fourth quarter compared to $9.6 million in the previous year. Our EBITDA measure does not include the significant improvement in our equity earnings contributed by our PST and Minda joint ventures which contributed $3 million before tax in the fourth quarter of 2007 versus $2.3 million before tax last year. Equity earnings for the year were $10.9 million before tax in 2007 compared to $7.1 million last year, an increase of 52.9%. Our primary working capital totaled $110.3 million at quarter end which decreased $5.4 million from the previous quarter. As a percentage of sales, our primary working capital is 15.2% which was higher than the prior year level of 13.1%. The increase was partially due to increased sales in the electronics segment to customers which contractually longer payment terms. While we have made good progress towards improving our working capital levels and improving our process flow, our working capital balances remain above our targeted range of $0.12-$0.13 of sales. We see significant opportunity to reduce our inventory balances in 2008 and have made this a focus area for operations. Operating cash flow net of fixed asset additions was a source of $22.5 million in the fourth quarter compared to a course of $18.7 million in the previous year. We have generated $80 million of operating cash flow in the last two years. $33.5 million in 2007 and $46.5 in 2006. In 2007 we generated approximately $46 million in cash flow, $33.5 million from operations and $12.3 million from the divestiture of non strategic assets which included two idle facilities and the company airplane. We continue to target primary working capital balance in the range of $0.12-$0.13 per dollar of sale. Capital investment totaled $3.9 million in the fourth quarter, mainly reflecting investment in new products and testing equipment. Some significant components of our investment were in the areas of electronics and instrumentation. For the full year, our capital expenditures were approximately $18 million. Turning to liquidity, in the fourth quarter we completed our new revolving credit facility. This facility will provide us with the significant flexibility going forward and eliminates our financial maintenance covenants. We have also structured this facility to allow us the flexibility to refinance our long term debt when the capital markets improve. Our cash balance totaled $95.9 million compared to $65.9 million at the end of the fourth quarter 2006. Going forward, we expect to fund our operational and growth initiatives through our free cash flow generation, available cash balances and the available credit line. We have not drawn against our revolving credit facility during any period in the last two year. As John mentioned before, because of the previously announced IPO transaction filing of our PST joint venture in Brazil, we are not providing earnings guidance for the year at this time due to the volatility, uncertainty of the capital and equity markets. However what we can say is what we see for the first quarter. North America light truck and pass car production levels are forecast to be in the range of 14.3-14.6 million vehicles for the year. Commercial vehicle, medium and heavy duty trucks production in North America is forecast to be comparable to last year. European commercial business continues to run strong at least through the first half and our joint ventures continue to run well. For the first quarter of 2008, based on our market and operational outlook, our operating income should improve by $2-$3 million compared to the first quarter of last year, but our results will be negatively impacted by approximately $3-$4 million from the previous announced restructuring programs. As we stated before our projected restructuring expense after the expected benefit of the facility sale in Sarasota will be in the range of $9-$13 million. The annual expense will be incurred evenly over the four quarters. Once completed our restructuring should generate savings in the range of $8-$12 million in 2009 and beyond. In summary, we have made significant progress during the last two years. We continue to address our top line growth through new products, geographic expansion and customer diversification. We continue to address our cost structure, especially our raw material cost, manufacturing overhead and SG&A excluding development and design expense. We continue to focus on cash flows as a way to strengthen our balance sheet, we still have work to do to manage our working capital in the range of $0.12-$0.13 per dollar of sale. We need to continue to improve our operational excellence, we need to complete our restructuring plan as well which will permit us to create an efficient and effective manufacturing footprint on a worldwide basis. And operator I would now like to open the call for questions.
Operator: Ladies and gentlemen, if you’d like to ask a question, please press star one on your touchtone telephone. If your question has been answered or you wish to withdraw your question, please press star two. Questions will be taken in the order received. Please press star one to begin. Please stand by for your first question. Your first question comes from the line of Mr. David Leiker of Robert W. Baird, please proceed sir.
David Leiker – Robert W. Baird: Hello, can you hear me? First of all, George I missed the depreciation number.
George Strickler: It’s $28.5 million for the year.
David Leiker – Robert W. Baird: Okay great. The gross profit margin you put up during the quarter, you know it’s clearly well beyond anything you’ve done in the last three years, how much of that is sustainable on a go forward basis? Was there anything really unusual in there or is this, have you finally gotten back to what your old level of profitability has been?
John Corey: Well I think we’re looking at things, two things. We did make some operational improvements, we shut down factories, we’ve consolidated that, we believe that will be sustainable. We also had on some things that we were closing out with certain customers some disputes and discrepancies and so that benefitted us, we don’t expect those to go forward in the future. But I think that what we’re trying to do is build in the floor on a gross margin level, I think you’ve seen that we’ve been able to build in that floor and operate from that level and improve it as we continue with these operation improvements, particularly when we finish with this restructuring.
David Leiker – Robert W. Baird: What do you think that normal level of gross margin would have been in the quarter?
John Corey: David I think we’ve always said that we’d run at a rate between that 23-25%. We were clearly benefitted with the new mix of business. We picked up I think as you mentioned, John mentioned the government business we have that’s predominately in the second half of this year and then we have some of that business flowing through the first half of next year. That had a nice mix of margin to it and we had with the down market especially in the wiring business was impacted by heavy duty truck that has a lower margin business so when you see that mix of a better run rate of commercial heavy duty truck I think you’re going to see some of the margins come down because of the volume there. And then the continuation of the government business will not run at the same level we experienced in the second half of this year and what we’re expecting the first half of next year. So that will tend to reduce the margins from what you’re seeing right now in the fourth quarter but I think we’ll get us back in that range that we’ve always said that we’re striving for in that 23-25% range.
David Leiker – Robert W. Baird: And if we, okay and is there anything unusual about this quarter that seasonally that makes it bigger than the other quarters that play here or not really?
John Corey: Nothing seasonal. I think what we’re seeing is the benefitting you have in global business. Our European business continues to run very strong, our joint ventures ran well in the fourth quarter and then naturally we had the big drop in the heavy duty and medium truck business which we all forecast that that would come back sooner but right now it continues to run at lower levels than I think we all expected.
David Leiker – Robert W. Baird: Okay, great, thank you.
Operator: Your next question comes from the line of Mr. Brandon Farrow of Keybanc Capital Markets, please proceed sir.
Brandon Farrow – Keybanc Capital Markets: Good morning guys, I wanted to start with your first quarter outlook, either one of you guys, you had talked about a $2-$3 million improvement versus 1Q 07, can you just kind of call out what that comparable number is from the first quarter of last year that you’re comping that $2-$3 million increase against?
John Corey: Well I think Brandon last year that the…
Brandon Farrow – Keybanc Capital Markets: I think you said operating income.
John Corey: Yeah we talked about operating income. Last year the operating income was roughly about, a little under $10 million, it was $9.7.
Brandon Farrow – Keybanc Capital Markets: Okay so $2-$3 million on top of that?
John Corey: That’s right.
Brandon Farrow – Keybanc Capital Markets: Okay. John when you think about what’s going on in China and what you’ve already done there, you talked about cash flow positive. Do you have any goals that are set in stone for a run rate in sales as we move forward? What’s taking place there? What kind of capacity utilization et cetera.
John Corey: Well we’ve got about five product lines that are over there now and we started this year with a program of more aggressive business development program. We’ve aligned our organization, we’ve put the responsibility for Asian growth back into the various business units so they have to develop their products and programs working in conjunction with our folks over at China. So we’ll put resources on the ground in China to support that development growth. In terms of setting a growth target there, we’re going to do that later on this year as they’ve gone through all their plans to assess where we can make an impact on how the markets develop. For instance on emissions, we know emissions are the high growth market but in the Asian market, unless it’s legislated it won’t grow the way it will in the European and North America markets. So China is still very small footprint for us and we are now starting to wrap our arms around, first we had to get the plant to where it could produce and get it to a breakeven point, we’ve done that, now we’re ready to start the accelerating of the growth. We’re putting resources on the ground to do that but I don’t have a targeted growth rate for that.
Brandon Farrow – Keybanc Capital Markets: Okay, while we’re on the subject of China, John, just strategically from a competitive standpoint, I mean we listened to Lear this morning talk about increased competition in their electronics business. What allows you guys to keep your margins and how is that changing? Can you kind of just explain the competitive landscape?
John Corey: Well you mean Lear was talking about impacts from China on their business in North America and Europe?
Brandon Farrow – Keybanc Capital Markets: Yeah, just generally increased competition in their electronics and their distribution business.
John Corey: Well we haven’t really seen much of that in our business segments and I mean if you look at our commercial vehicle market for instance, if you look at instrumentation, you look at the biggest instrument panels that we ship and send to people, it’s pretty bulky to move that product around. If you look at the Packard rack for instance that’s a mandated product, it has to be produced in a secure facility, so that protects us, it has a little built in protection to it also. If you look at the North American market, I think it’s really so far it’s been our technology, although we will source product back here if necessary but I don’t think we’re seeing that the cost structures, we continue to drive our cost structure down. I think when you look at China the rate is really the big issue is their labor rate and second their overhead rate. And so what we’re working to consolidate and take cost out of our operations, you know if you compare that favorably to our Mexican operations, I don’t think we have any, we’re not seeing any significant inroads on that. That doesn’t mean as I said before though, China operation for us is both an offensive and a defensive play. Offensive meaning we want to start growing into that Asian market, defensive, if we start to see product coming from Asia that impacts our business, we’ll move those products into that area and ship them back into the home market.
Brandon Farrow – Keybanc Capital Markets: Okay, with respect to the $200 million in new business, can you kind of give us a cadence and a time period over which that flows in, maybe is it three years, 08, 09, 010 and how much per year?
John Corey: Well at this time Brandon we haven’t really wanted to and we don’t want to disclose that level. I mean this is a gross number but we’ll continue to talk about this in the future moving forward but we don’t want to put a split out there like that at this point.
Brandon Farrow – Keybanc Capital Markets: Can you give us a sense of the number of years that it entails rather than saying, you know 25% 08, 09, whatever.
John Corey: Well you know most of our program awards, there will not be any significant impact next year, those are the awards we won last year, so we look at these awards as kind of four years from this year, spreading out over that horizon. We really look at it over the next, not next year but over the next three years after that.
Brandon Farrow – Keybanc Capital Markets: So 2010 and beyond?
John Corey: Yeah I would say probably that’s where the bulk of it will show up. We’ll get some benefit in 2009 but most of our awards in 2009 were booked in prior years.
Brandon Farrow – Keybanc Capital Markets: So that roughly $50 million in gross organic growth per year through 09 is a fair representation of what’s taking place still?
John Corey: Well you know we’ve talked about the growth and I think our target has been is 5% for organic growth over the next three to five years and that’s the target that we’re striving for and that and it’s your projection, I mean it fits within that range.
George Strickler: And again I guess just to lay the platform or remind everybody, we’ve felt that our first objective is really to secure and sustain our operational base and I think with this restructuring program we’ve announced, when that’s completed, we’ll have done that. And so it’ll improve that performance and then to start moving in to more aggressive marketing plays and that’s where we’re turning our attention now.
Brandon Farrow – Keybanc Capital Markets: With respect to the mix in the fourth quarter, I think you guys kind of explained well there were some things in there that might not persist going forward, but John just longer term, it appears as if most of the business that you guys are booking and bringing on is electronics based, which I would assume carries better margin than some of the controls related stuff? Is there some benefits, some longer term benefit that’s taking place? Is there a broader mix shift that we should expect going forward that might benefit margins?
John Corey: I wouldn’t characterize it that way because I think it really is product specific as to what the margins are and also if you notice our actuation business was part of the business we picked up in the Far East so we’re trying to expand our product offering across the board where we see attractive profiles of the product line and business profiles and financial profiles that will allow us to grow in there and sustain that growth.
Brandon Farrow – Keybanc Capital Markets: Okay.
George Strickler: And I think part of the conclusion you’re seeing Brandon is the growth in the markets where it’s coming and right now Europe continues to grow and expand whereas North America is down just because its overall volume.
Brandon Farrow – Keybanc Capital Markets: Let’s see here, I kind of wanted to talk about PST, I know you can’t talk about much. What’s your ownership base? What’s the potential tax liability going to be based on? Is it below $20 million range?
George Strickler: We can’t really, I mean as you know it’s a 50/50 joint venture and beyond that Brandon we can’t really say much more about the operation at this point.
Brandon Farrow – Keybanc Capital Markets: Okay, is there any way for you guys to kind of disclose what the full year 07 EBITDA was in the PST this year?
John Corey: Well as you know we disclose in the 10Q a full financials so that when that comes out you’ll have full access to the financials of PST.
Brandon Farrow – Keybanc Capital Markets: Okay.
John Corey: We will tell you that substantially most of the equity earnings in 2007 is attributable to PST.
Brandon Farrow – Keybanc Capital Markets: Okay, with respect to restructuring, full year, sounds like you’re going to hit a run rate on the roughly $9-$12 million as we exit 2008 going into 2009, is it fair to assume though that those savings start to flow through as we sit here today actually and the beginning of 2008?
George Strickler: We don’t really see much because there’s a lot, it’s very complex, I mean we’ve got to get testing with our customers and that so you won’t see a lot of the benefit in 2008.
John Corey: The way we pulled this together is we’ve looked at this and said you know, there are a lot of uncertainties in our time horizon primarily as George alluded to, we have to go back and we’ve got to re-qualify at the new locations. What we’re in the process right now is building inventories to allow for the transfer. We’re starting with going to the customers and getting validation then we’ll do the [p paps] at the new locations and do the product testing and sample to come back from that. If we can accelerate that, yes we’ll be able to move faster than our plan. But we’ve given ourselves hopefully sufficient time to make sure we get customer approval to proceed. But if we do accelerate, there should be some benefit and maybe later on in the year. We’re not planning for that right now.
Brandon Farrow – Keybanc Capital Markets: Okay so most of it will take place in 09 then?
John Corey: Yeah.
Brandon Farrow – Keybanc Capital Markets: Okay, [unintelligible], you know almost $100 million on the balance sheet at the end of the year, its half of your market cap, I know you’ve talked about priorities of that cash, is it still first and foremost debt? And can we actually start to see some deleveraging take place during the year?
George Strickler: I think what we wanted to do is we talked about it before, we wanted to prepare the company for any kind of crisis that might hit, not in the company but in the marketplace. I think we’ve done that and I think we are looking at options with our Board for deleveraging the company, so we will continue to look at that and examine that. We’ve got an objective here to lower our financial cost of the business and deleveraging is one way to do that along with potentially refinancing.
John Corey: And I think we’ve said that’s a high priority for the company so clearly that is an objective we have. I think the thing that we want to do though Brandon is do it at our terms as opposed to come into sort of the volatile markets and play a premium when we think we have the balance sheet to support something better than that.
Brandon Farrow – Keybanc Capital Markets: Okay, is there anyway George that you can kind of just give me some housecleaning items, 2007 revenue breakdown. Commercial truck and what the split between North America and Europe is? And then maybe agricultural and aftermarket?
John Corey: Well that’s, I mean we will provide some of that in our disclosure and I think that’s the best place to get it rather than use a lot of time here to do that.
George Strickler: Yeah I mean because it really depend, aftermarket if you look at what our aftermarket in Europe was I mean the number I quoted the 30 some million, that’s all aftermarket. If you look at in the North, and that’s all goes primarily into the commercial vehicle segment. So but in the US our product flows in, so it’s a much smaller market but it flows into various market segments including automotive.
Brandon Farrow – Keybanc Capital Markets: Okay guys, that’s all I had, thank you.
Operator: And your next question comes from the line of Mr. David Leiker with a follow up from Robert W. Baird, please proceed sir. Mr. Leiker.
David Leiker – Robert W. Baird: Can you hear me alright? Sorry about that. What’s the reason that you’re not providing guidance?
John Corey: Well as we said with the PST IPO that could have, we believe there’s significant value in PST and with the IPO we hope to unlock some of that value but I mean right now with the markets being where they are it becomes difficult to say if we go forward with that IPO what the implications would be on our performance.
David Leiker – Robert W. Baird: But couldn’t you provide guidance assuming nothing changes from where you are today?
John Corey: I think the problem is there’s many different facets a potential deal could do and to try to qualify and quantify all the different alternatives, I think it becomes very difficult so rather than getting into those discussions, I think we felt it was better not to provide guidance but I think what we will do is just as we’ve done here is we’ll give you some insight as to what we see for the current quarter and if the situation changes then we’ll come out and I think we’re very clear that we will provide guidance for the year or give you an update for the quarter to at least keep you up to speed where we think we’re going as a company.
David Leiker – Robert W. Baird: Okay, I understand that, I guess, [unintelligible] in the context of assuming nothing changes from where we are regarding PST. You know consistent with what you’re getting for the first quarter. If you take your fourth quarter you just reported and this is implying a first quarter number that’s not a whole lot different than Q4, you’ve got $0.55 or $0.60 in earnings in two quarters, what would be wrong, where would we be wrong if we just doubled that and said that’s a full year run rate?
John Corey: You know, well I think we can’t get into each one of those different variances but clearly I think we tried to say that we’re benefitted by some new business in the fourth quarter that came in very strong and that business is out there for 2008 but it’s mostly in the first quarter second quarter so it doesn’t continue through the second half. So there’s some nuances like that that do not carry quarter to quarter into the full year.
David Leiker – Robert W. Baird: Is that business that goes away in the second half of the year?
George Strickler: Well it’s extremely high volume compared to what you would expect to see. I mean it’s a unique business that we got clearly starting in the third quarter and the fourth quarter nice run rate and then right now it’s forecast to run only through the first half.
John Corey: And in addition as I said before in the fourth quarter we closed out some customer issues that were favorably impacted for us, so we don’t expect to have those customer issues again, we don’t expect to see that favorability repeat. But what we’re trying to emphasize here is even in taking those out to look at the fundamental operating performance of the business and in the range George mentioned on margins on the gross margins, that’s where we’re tracking to push this business to achieve that and sustain that. Which, if we remember, our margins, we’ve got fairly good gross margins so what we’ve got to do is focus now on continuing that operational improvement and then start a more aggressive plan around our marketing growth because as we drive our top line then the other things like SG&A and our percentage targets there start to come into reality.
David Leiker – Robert W. Baird: How much of your SG&A expense would fall into product development R&D as opposed to sales and marketing?
George Strickler: We spend a little over 6% on design and development, R&D.
John Corey: Right, our typical SG&A is a little over 12% excluding D&D and then design and development is about 6%. So when we talk about SG&A that we’re addressing is we’d like to maintain dollar spend with our design and development but when we say we’re going to reduce the target less than 10%, it’s really coming off that base of about 12-12.2%.
David Leiker – Robert W. Baird: Where would you like to get that number, I mean some companies in this space are down at 5 or 6 or 7% of revenue, is that something you can achieve?
John Corey: Well I think part of it is our sales level and our dollar spend will continue to go up as we [perdue] products but our percent of sales will stay the same or decrease as our sales top line continues to grow. So I think what you’ll find is that we’ll inflate in dollar terms or over the period but at the same rate that sales will grow.
David Leiker – Robert W. Baird: So where do you [overlay] target of where you’d like SG&A to be as a percent of revenue?
John Corey: We said 10% is where we’d like the target it.
David Leiker – Robert W. Baird: Okay and then I didn’t jump in on and off the call, I apologize if you said these before.
John Corey: One thing on the D&D, let me comment one further comment that, you know we have a balance of growth opportunities but some of these would require a lot higher D&D spending in the longer term timeframe. So we’re balancing out several activities but I would probably not say we would see reductions as a percentage of sales significant reduction as a percentage of sales in our D&D as we said before we won’t see any significant increases in that line either.
David Leiker – Robert W. Baird: Okay it just sounds like your plan is to lower that through growing the revenue base as opposed to addressing any cost issues that might be there.
John Corey: A lot of our D&D is tied to [overlay].
David Leiker – Robert W. Baird: Not D&D but the SG&A.
John Corey: SG&A, there are as we’ve talked about, we consolidated some business units, the high stat units are consolidating now and will part of the restructuring in 2008, that will benefit it. In 2007 we consolidated the North American electronics business, that’s taken out some SG&A overhead. We’re doing some other things that will continue to push that line down. So it is a combination of cost reduction, cost take out and sales growth.
David Leiker – Robert W. Baird: Okay, alright great, thank you.
Operator: Your next question comes from the line of Mr. Brandon Farrow with a follow up from Keybanc Markets, please proceed.
Brandon Farrow – Keybanc Capital Markets: George just to make sure I’ve got this right, the 40% tax rate in the fourth quarter is basically what you’re expecting, quarter to quarter through 2008?
George Strickler: Well I think we actually said it’s a little higher than that for 2008, it’s really has to do with the restructuring expense in the UK. Our rates running I think it’s right around in that range of 45-47 or 48 I think we said. So it’ll be right around 46 but a lot of that is because of the restructuring expense in the UK operation which we get no tax benefit for.
Brandon Farrow – Keybanc Capital Markets: Okay and then thereafter, 2009, I think you were targeting lower 20% range? Is that right?
George Strickler: Well I think it’ll go back historically, the list year we ran in that range around that 30% and so I think we can get it back in that level for 2009 and beyond.
Brandon Farrow – Keybanc Capital Markets: Okay, can you guys just kind of quantify if you’ve got this available, what occurred during 2007 in terms of expenses that won’t reoccur in 2008? Worse than expected, well, let me put it this way, you had some facility issues in the second and third quarter. Those were about $0.20 a share right?
John Corey: Yeah we had some product launch issues that caused us some difficulty and impacted us and we’re working on those and making progress on that. Most of the launch issues are resolved, we’ve still got one that’s improving rapidly and is actually in a very good growth line for us. So those things should go away and we’re focusing on, each one of our business unit managers or leaders has now as one of their personal objectives for 2008, we’re going to focus on the cost of core quality inside their business units. So that will be tracked and monitored and measured as it was this year, but now we’re going to start that we’re going to expect to make some significant improvements in certain areas where we feel we are not operating efficiently.
Brandon Farrow – Keybanc Capital Markets: Okay, perfect, thank you.
Operator: Your next question comes from the line of Ms. Katherine O’Connor of Deutsche Bank, please proceed.
Katherine O’Connor – Deutsche Bank: If you could help us out with the dollar amount of the one times you got back from your customers.
John Corey: We don’t disclose that.
Katherine O’Connor – Deutsche Bank: I mean just a general range so we could figure out what the normalized margins would have been.
John Corey: It was roughly less than $1 million, so it was not significant.
Katherine O’Connor – Deutsche Bank: Okay and then in terms of the working capital, I guess you said you had some changes in payment terms, where exactly I guess on the electronics side, is that from a certain geographic area?
John Corey: It’s not a change in payment terms, it’s just where the volume of additional business, our sales have gone up in Europe which traditionally have longer terms than other markets.
Katherine O’Connor – Deutsche Bank: Right, okay and then I guess the last question, in terms of where you see the business going over time, once you get the operational side worked out and you’re in the more aggressive marketing side, do you have a goal for where you want to grow and how big you envision the company, what your goal for the size and scope of the company will be going forward?
John Corey: Well I think as George said we’re trying to target growth in the mid single digit range, we’re looking at certain area, we think the emissions areas is an area that we’ve talked about which I think has good opportunities for us. We look at the commercial vehicle market, particularly instrumentation and tachograph is good opportunities for us, continued opportunities for us. We have good position there. We like the aftermarket business in Europe, we continue to grow on that and expand that geographically and maybe with more product additions. And then we have some new sensing capabilities that we think will apply well to the off road markets, construction, ag markets and we’re developing those and should come on later on. And then finally going back, chemical sensing business in 2011, 2012 timeframe, driven by the growth of those markets.
Katherine O’Connor – Deutsche Bank: So in terms of opportunities you just listed, how many of those are outside of North America, how many of those are in Europe, how many of those are Asia?
John Corey: If you look at emissions, that can be global, again depending on the market. There’s opportunities in Asia, opportunities in Europe and in North America. If you look at well the actuation product that we awarded that was in Asia, if you look at instrumentation and commercial vehicles I mean our market’s split between Europe and North America and we’re looking at how we participate in the Asian market. Now our Indian joint venture is one of our plays to go into commercial vehicle instrumentation, so we can do that, we can leverage that facility to do that. And then finally if you look at tachograph that is primarily all European based but as legislation changes, that produce might expand further.
Katherine O’Connor – Deutsche Bank: Do you know approximately what your market share is for the tachograph in Europe is versus your competitors?
John Corey: We normally don’t disclose that. There are two key competitors and it makes it sensitive as to what our market shares really are.
Katherine O’Connor – Deutsche Bank: And then I guess maybe more generally then, in terms of where you market shares are now in your products, do you feel like you need to increase those shares in order to get better scale? Is that something you’re thinking about and I guess in terms of the more aggressive marketing, are you willing to, what are you willing to do in order to possibly increase your share and improve your scale versus your larger competitors?
John Corey: I don’t necessarily think increasing our scale is the key that we want to follow. What we’re looking, you know in our case we’re looking at being a fast, flexible and responsive organization that brings technology to the table for our customers. So if our customers are going to look at us, that’s what we want them to do, we want them to know they can come to us and we can turn around something very quickly. And if you looked at the example of the program that we won this year, the military program, that is a good example of the team all of the sudden turning on a dime and pulling together a design and development effort and then actually going into manufacturing and producing the products. That’s really our play, that and then combining with technology that we think are sustainable in areas that primarily, with legislative emphasis, so if you look at the emissions plays, you look at the safety play, if you look at the tachograph that’s another one, you look at the instrumentation, that’s not legislative but it’s needed. Those are the kinds of things that we’re looking at to continue with.
Katherine O’Connor – Deutsche Bank: It sounds like you’re more comfortable sort of looking at things on an opportunistic basis and sort of staying as a niche player rather than looking at something in terms of like [overlay].
John Corey: I wouldn’t call it opportunistic, I mean each one of our business units has a plan for those products, that’s where we are today. The opportunistic side might come if we see something that would fill out our product portfolio then we might go after that and try to develop it. But all of these are plans that current business units are working on.
Katherine O’Connor – Deutsche Bank: I guess I mean I’m saying niche in the sense that you feel like you have the right market share now, you don’t think it’s necessarily vital to try and increase that market share or you know.
John Corey: Well I think you can increase market share, I don’t want to increase market share through the traditional way of trying to go out and price cut in the marketplace and destroy our margins. I want to increase market share because I’m offering the customer something that’s more attractive to them versus the competitor on a non price basis. I mean price is always going to be a part of that and so is quality but those are kind of givens at certain levels, but then I want to offer the other things which is either technology, something that solves a problem for them and the fact that we can bring it to market to them and in a fast efficient manner.
Katherine O’Connor – Deutsche Bank: I guess it sort of brings me back to the marketing phase then because, if you’re solving problems with solutions then it sounded more like you were going to be going after a more aggressive marketing scheme, so I was trying to differentiate that between what you’re doing right now.
John Corey: Well I think, yeah, if you wanted to find a more aggressive marketing team it really is starting, I think in the past we would develop things for a customer. I think one of our challenges and changes is look, we want to let the market determine how fast they want to integrate something and we want to offer it to the market, not specifically to a customer. Now we will certainly work with any customer but we want to try to have the customers drive the market and us participate with them. And I think that’s probably one of the ways we think we can add value to our business.
Katherine O’Connor – Deutsche Bank: I guess it sounds like what you’re saying is before when you developed maybe a solution for someone for a customer you weren’t able to take that solution and deliver it to other customers.
John Corey: I think our mindset was that we didn’t focus on that. We didn’t think about that. We spent a lot of time with that customer, I think as we talked about here in our plans, when we talked two years ago, we want to see more diversity in our customer base and we want to take our products across multiple customers or multiple regions and that’s one of the areas we’re working on. So our business units are now thinking about this technology. For instance, we have a technology that we’re developing on magnetic sensing that can be used in various markets. How do we take that to the European market, to customers over there, to the North American market, which customers and how do we penetrate with those customers. Instead of before maybe just developing it with one customer.
Katherine O’Connor – Deutsche Bank: Okay I think that answers my question.
Operator: At this time there are no further questions in the queue and I would like to turn the call back over to management. Please proceed.
John Corey: Okay well thank you. We’re very encouraged by the performance of 2007. We tried to give you a flavor of it but if you look at it, the real test of management and the team that we’ve got here at Stoneridge is our ability to take the pluses and the minuses and still turn those into an overall plus which means improvement in operations. I would say 2007, because of the impact of the commercial vehicle market in North America being down as much as it was offered a significant challenge to our business and I’m pleased that our performance has improved the way it has and that’s through the work and efforts of a lot of people. So I think as you look at this, you look this is the second year, we’ve met our commitments, we’ve gone forward, we’ve laid out what we were going to do, we’ve gone and done it and that’s how we expect to proceed in the future and I think the message coming out of here is improved performance but based on a strong alignment of the management and the organization [inaudible] driving those results. So if there are no other things I’d like to thank you all very much and look forward to talking to you on our next call.
Operator: Thank you for your participation in today’s conference, this concluded the presentation. You may now disconnect. Good day.